Operator: Good morning and welcome to ATI Physical Therapy Fourth Quarter 2021 Year End Earnings Conference Call and Webcast. All participants will be in a listen-only mode. After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. On the call today are Jack Larson, Executive Chairman; Joseph Jordan, Chief Financial Officer, Ray Wahl, Chief Operating Officer; and Joanne Fong, Senior Vice President, Treasurer & Head of Investor Relations. I would now like to turn the call over to Miss. Fong to read the Safe Harbor and forward-looking statements.
Joanne Fong: Thank you, Lisa. Good afternoon everyone. Before we began, we would like to remind you that certain statements made during this call will be forward-looking statements that are subject to various risks and uncertainties and reflect their current expectations based on beliefs, assumptions, and information currently available to us. Although, we believe these expectations are reasonable, we undertake no obligation to revise any statements to reflect changes occur after this cost. Descriptions of some of the factors that could cause actual results to differ materially from these forward-looking statements can be found in the risk factors section in the company's filings with the Securities and Exchange Commission. In addition, please note that company will be discussing certain non-GAAP financial measures that we believe are important and evaluating performance. Details on the relationship between these non-GAAP measures to the most comparable GAAP measures and reconciliation focus on GAAP financial measures can be found in the press release that's posted on ATI’s website and filed with SEC. And with that, I'd like to turn the call over to Jack.
Jack Larsen: Thanks Joanne and welcome to all of you joining us this morning. With me on the call today is Joe Jordan, our Chief Financial Officer and Ray Wahl, our Chief Operating Officer. I'll begin with a few comments on our 2021 performance and move on to the more current and more interesting discussion of where our business is headed as well as the activities we have underway that will set the foundation for growth in 2022 and beyond. I'll then pass the call over to Ray for a discussion on what's happening in our clinics and with our staff. And finally, Joe will provide a detailed review of fourth quarter and full year 2021 financial results, along with our 2022 outlook. Then, of course we'll take your questions. To start, I want to thank all of our team members for their hard work and dedication. Simply put, I could not be working with a better bunch of people. The team accomplished quite a bit in 2021, including standing up our company for the public markets, continuing to operate through the challenges and uncertainty presented by the multiple waves of COVID, and throughout all of that staying true to delivering high quality patient care that we're known for. First, we achieved our revenue guidance for the year and generated approximately $40 million in adjusted EBITDA, which approximates the low end of our guided range that we shared with you during our last call. This marks a change from earlier quarters and you should very much read into this a deep and sustaining commitment to our stakeholders to do our very best to deliver on what we say we will do. And if not, we will be absolutely forthright about it. For the year, we added 58 new clinics, right on top of our earlier guidance. The new clinics consists of 51 Open clinics and seven acquired clinics located predominantly in the Southwest, Southeast, and Northeast. This brings our total clinic count to 910 clinics across 25 states. Now, in our last earnings call, I highlighted two areas that we're going to be laser-focused on. The first was to stabilize and grow our clinical workforce by both increasing retention and recruiting and onboarding new team members. Ray will discuss the really great things we've done in this area and without stealing all his thunder, I'm happy to report that annualized turnover continues to decline decreasing to 400 basis points from 41% in the third quarter of 2021 to 37% in the fourth quarter and hiring remain strong in the fourth quarter. With this we have nearly 2,500 clinical FTEs as of 2021 year end, putting us just slightly ahead of our planned staffing levels going in to 2022. During our last call I also called out unacceptably low levels of visit volume, mostly queued in the Midwest and Northwest and our need to drive higher referrals in order to realize more count visits. Since then, we've completed a top to bottom review of our sales strategy, conducting a market-by-market assessment of past, present and potential referral sources and revamped their respective calling priorities. Equally as important, we've identified the gaps we have in our sales teams coverage of those referral sources. We created several new field based sales positions in those gap areas and have already filled several of them with the remainder to be completed in the first half of 2022. Our Business Development Managers continue to serve as the main point of contact through referring providers, ensuring they have access to the right ATI clinicians and physical therapy expertise, as needed to accelerate their patients return to full health. And while I think it's absolutely critical to build our market muscle back up again, I'm even more excited about our strategy of getting 600 or so of our clinical field leadership more actively in the mode of relationship building with referral sources, community event participation and backing up their development managers with joint relationship calls focusing on the quality of their patient outcomes.
,: Finally, on a more financial note, this morning, we announced the refinancing of our credit agreement and capital structure that reduced our leverage, extended maturities and increased our liquidity. This transaction provides a strong financial foundation to support our operations, continue to invest in our people and pursue our growth strategies. Joe will provide more details on this recap as well as our 2022 outlook in the financial review. So with that Ray, would you let us know what's going on in the clinics and what our teams are?
Ray Wahl: Sure. Thank you, Jack and good morning. I'd like to spend a moment providing some operational highlights for the fourth quarter, as well some more detail in the current environment and trends that we're seeing in the field. As a reminder, the labor market has been challenging over the last couple of quarters, we made some, what I would consider significant adjustments in our hiring practices, compensation model and how we think overall about the individual provider. I'm excited to say we're seeing great traction, heading 131 net FTE in the fourth quarter of 2021 alone. What I'm most excited about is the results from my most recent round of market visits. This is really my opportunity to not only review the market quantitatively with a district collector, but also discuss qualitatively how the business is progressing. And I'm getting various and very consistent examples of our providers reaching out and appreciating the changes we've made to their roles specifically. We're always going to work hard towards being an employer of choice. So my conversations over the past few months solidify my thoughts that we're going down the right path when it comes to thinking about the individual first. So let's touch briefly on Omicron. As you've probably seen the number of COVID cases attributable to Omicron variants started to accelerate in December, particularly in the last two weeks of the year. Data collection from our patients regarding reasons for their cancellations show Omicron had up to a 4% impact on visits per day during that same time period. This led to volume softness, particularly in certain parts of the country like the Southeast and Northwest as we entered into the New Year. Omicron also impacted our team members throughout this period with over 100 clinical FTE in quarantine at the highest point. Well, Omicron continued into January, we started to see some normalization in February. Thankfully, we're starting to see our Omicron’s impact on both patients and our providers decreased significantly. Jack also mentioned a change in our sales strategy, which I'd like to add a little bit more color to. Our last call indicate an opportunity to drive more referrals. While investing further in our sales teams corridor strategy, we've been working hard to develop a platform where our in-clinic leadership team can play a more active role in relationship development. We believe not only adding additional coverage, but the clinical perspective provided will improve support from the medical community. To sum things up, overall from an operational perspective, our team has done a great job of persevering through another year of the pandemic. In 2021, we rent hiring and integrated over 1,000 new team members, brought down attrition and made improvements to our salesforce structure. All of this sets a great foundation for 2022 and it couldn't be more excited about where we are and where we're heading. Now I'd like to turn the call over to Joe for a financial review.
Joseph Jordan: Thank you Ray. And thanks everyone for joining the call today. I will cover our fourth quarter and full year 2021 financial results. I'll touch on the debt refinance that was announced this morning and review our 2022 outlook. Starting with 2021 results, net operating revenue in the fourth quarter was $156 million, a 1.7% increase year-over-year from $153 million in the fourth quarter of 2020. Net patient revenue was $140 million, increasing 2.5% year-over-year, while other revenue was $15 million, declining 4.8% year-on-year. Visits per day per clinic during the quarter was $22.8, sequentially decreasing 0.3% visits from $23.1 in the third quarter. While the fourth quarter is typically flat to marginally lower than the third quarter due to holiday. We were targeting the fourth quarter to increase as we made progress in stabilizing our workforce and continue to add clinical FTE. The quarter-over-quarter decline was primarily driven by visit volume softness during December when the Omicron variant disrupted operations to increase cancellations, a decline in scheduled appointments and increased clinical absences. Visits per day per clinic was $22.2 and $29.8 in the fourth quarters of 2020 and 2019, respectively, with 2020 also significantly impacted by COVID, and 2019 representing our clinic level operation at normal capacity utilization. Rate per visit during the quarter was $104.51 sequentially decreasing 1% from $105.56 in the third quarter, and 5% year-on-year from $109.98 in the fourth quarter of 2020. The decreases in rate were due to a gradual mix shift from higher paying categories such as workers compensation to commercial and government. Mix also shifted in 2021 towards lower reimbursing payers as our geographic footprint continues to broaden. Finally, the 2021 Medicare Physician Fee Schedule reimbursement rate for physical therapy was approximately 3% lower, than the 2020 rates. Salaries and related costs in the fourth quarter of 2021 was $88 million an 11.3% increase year-over-year from $79 million in Q4 of 2020. PT salaries and related costs per Visit during the quarter was $55.73 sequentially increasing 3.8% from $53.78 in the third quarter and 6.9% year-over-year $52.16 in the fourth quarter of 2020. The increases in cost per visit were primarily due to lower labor productivity, as visits per day per clinical FTE was $8.3 during the quarter, compared to $8.8 in each of Q3 2021 and Q4 of 2020. As we continue to train our influx of new team members, while simultaneously seeking to increase referral volume. Rent, clinic supplies, contract, labor and other in the fourth quarter of 2021 was $48 million, and 11.6% increase year-over-year from $43 million in Q3 of 2020. PT rent and clinic costs and other costs per clinic during the quarter was approximately $51,000 sequentially increasing 3% from $49,000 in the third quarter of 2021 and 8.1% year-over-year for $47,000 in the fourth quarter of 2020. The increases were primarily due to greater use of contract labour in select markets as we work to fill open positions. Provision for doubtful accounts during the quarter was 2 million or 1.5% of PT revenue, and has continued to trend favorably when considering the fourth quarter of 2020 and 2019 at 2.4% and 2.1% of revenue, respectively. SG&A during the quarter was approximately $30 million, essentially flat as compared to Q4 of 2020. Higher non-ordinary legal and regulatory spent was offset by lower transaction costs incurred and business optimization expenses. Operating loss in the fourth quarter of 2021 was $12 million, increasing year-over-year from $2 million as we maintained our clinical team and support structure in place in anticipation of increased visits, given the refreshed sales and marketing strategy that Jack and Ray talked about and as the impact of omicron variant wanes. Notable below the line items during the quarter, included income resulting from the decrease in fair value of certain liabilities acquired in connection with our business combination in June, specifically warrants and contingent common shares totaling $10 million. The mark-to-market to fair value was based on a valuation analysis as of $1,231, 2021. Interest expense during the quarter was $7 million, compared to $16 million in the fourth quarter of 2020, which is consistent with the reduced debt outstanding at year end 2021, compared to the prior year. We also had other income of approximately $6 million during the quarter, which was primarily due to the gain on our home health services line. Income tax benefit for the quarter was $12 million, compared to $2 million in the fourth quarter of 2020. Net income during the quarter was $9 million, compared to $2 million in the prior year. Finally, revenue during the full year was $628 million, a 6% increase year-over-year from $592 million and this compares to revenue guidance of $620 million to $630 million. While visits per day increased 12.8% year-over-year, rate per visit declined 6%, attributable most mostly to unfavorable mix ships, in payer states and services. Additionally, there was an approximate 3% reduction in the Medicare Physician Fee Schedule as previously discussed. Adjusted EBITDA during the full year 2021 was approximately $40 million decrease year-over-year from $64 million in 2020. This approximates the low-end of our adjusted EBITDA guidance of $40 million to $44 million, as Jeff mentioned, we've at certain non-recurring expenses in late Q4 2021 such that excluding these one time costs, adjusted EBITDA would have been at the midpoint of our guided range. Specifically due to rising COVID cases, we decided to cancel our annual leadership meeting planned for January, when our nationwide team gathers each year to discuss strategy, share ideas and collaborate. The non-refundable portion of this expense was booked in December. Additionally, during the fourth quarter, we restructured our sales and marketing organization and engaged a consulting firm to allow us to more quickly complete the sales and marketing strategy refresh that both Jack and Ray touched on earlier, which resulted in incurring professional fees and one-time severance cost. Cash used during 2021 was $94 million, broken down between $42 million used to fund operations, $40 million used in investing activities and $12 million used in financing activities. Cash used in operations included $18 million of payments in connection with the Cares Act. As of December 31, 2021, we have zero drawn against our revolver and available liquidity was approximately $68 million, which comprised of $48 million in cash and cash equivalents and $20 million in available revolver capacity. Moving on to the refinancing, as Jack mentioned, we refinanced our first lien term loan and revolver this week. We paid off our existing debt and entered into a new credit agreement and issued preferred stock. Our new $500 million 1st lien term loan matures in 2028 and our new $50 million revolving credit facility matures in 2027. Additionally, we issued $165 million in preferred stock with detachable warranty. The transaction extends our debt maturity and enhances liquidity, adding approximately $77 million of cash to our balance sheet to support our operations and allow us to continue to invest in growth and scale the business. Looking ahead to 2022, we expect revenue to be in the range of $675 million to 705 million, which equates to year over year growth of roughly 7.5% to 12.5%. We anticipate continuing to ramp visits steadily throughout the year, as we continue to grow clinical headcount and execute on the sales strategy put in place at the end of 2021. It'll take a few quarters to reignite prior referral relationships and to set the groundwork to build long term connections with new target referral providers. Accordingly, we expect to return to pre-COVID visit volume levels at the end of 2022. For Peaky rates, we are modeling a slight 1% reduction in rates in 2022 forecast as compared to the fourth quarter of 2021. This considers the 2022 Medicare physician fee schedule changes and anticipated onset of federal budget sequestration.  We anticipate adjusted EBITDA to be depressed in 2022, while we continue to ramp to full clinic capacity and target labor productivity as we act on the sales and marketing front the Jack and Ray outline. We've opted to hire clinicians in advance incurring higher labor holding costs in the meantime to ensure that we have the people in place to meet the increasing referrals and visits. While utilization of existing clinics is expected to steadily improve as we progress throughout the year, labor productivity may be uneven from quarter to quarter. Regardless, as the business continues to ramp, we will better leverage our fixed costs and generate increasing earnings with the anticipated visit ramp profile in 2022 adjust that EBITDA is expected to be in the range of $25 million to $35 million for the year. January got off to a slow start at 19,300 visits per day on average with both weather and Omicron impacting volume. We are already experiencing ramping volumes with mid-February increasing to nearly 22,000 visits per day on average. We have built time into our brand for sales initiatives to drive volume growth into our clinics, with higher earnings to follow as fixed costs our leverage. Keep in mind, we believe our current clinic staffing level has capacity to – to absorb approximately 1,500 more visits per day as seasonal trends and the aforementioned sales initiatives take hold that additional volume will yield an incremental EBITDA of approximately $3 million per month at current staffing level. And we intend to continue adding clinicians throughout 2022. As referral growth accelerates, our marginal adjusted EBITDA flow through per 1,000 visits per day beyond current staffing level is roughly 1 million per month. To the extent our labor and sales strategies align and generate results quicker, there's an ability to outperform our guided range. Finally, in terms of new clinic growth plans, we expect to open approximately 35 new clinics in 2022. As we ramp our existing clinics, we also continue to see outsized growth opportunities in select markets. With that, I'd like to turn the call back over to Jack. <> Thanks, Joe. Before we open the call to your questions, I once again like to thank the entire ATI team for their hard work and efforts. 2021 was indeed a challenging year. And I'm – for me, I'm glad to be moving on. But we made the necessary changes in investments to drive long-term growth, and ATI remains well positioned to gain share, as the secular growth story for our industry continues to play up. Operator, we're now ready to open the call for questions and answers.
Operator: [Operator Instructions] Your first question comes from the line of Steph Wissink with Jefferies.
Steph Wissink: Thank you. Good morning, everyone. We have two questions. The first is related to your – the detail you gave on kind of the leverage in the business model. I think you said 1,000 visits per day above your existing capacities, about a million dollars in EBITDA per month. How do you think about that leverage ability as you layer in clinicians, I understand that, based on your current capacity, but you're indicating you're going to be increasing your labor loads? So how should we think about the incrementality potential as you go forward throughout the course of the year?
Jack Larsen: I think – thank you for the question. I think Joe did a good job explaining not only our incremental potential margin by using our current labor component to its full capacity, but also once we get there the additional incremental EBITDA available once we get to – to over that current staffing level. So Joe, would you pick up that?
Joseph Jordan: Yeah. Hey, Steph, thanks for the question. So just to reiterate what I said on the call, and I know you're digesting it real time, we would actually have about 1,500 visits per day capacity with our current staff, and that flow through is about 3 million. Beyond that, once we – once we absorb the capacity we have in our current staff. As we add additional clinicians and create more capacity, when you take into account the labor costs, the contribution is obviously slightly less. In that instance, the additional every 1,000 visits per day would give you about a million dollars of flow through. So that – that ladder number that you quoted is contemplating adding labor, but just to re-highlight the former number with the current capacity, about 1,500 visits per day and three million of adjusted EBITDA.
Steph Wissink: Got it. Very helpful. Okay. Then I wanted to skip over and just talk a little bit about your – your recruitment strategies, and maybe help us think through the year, I don't know, if you want to talk about it as a sequential pathway or two semesters, first half second half. But it does sound like the EBITDA is going to be more depressed in the first half of the year as you layer in labor. And then you start to realize the benefits of that labor in the back half. So help us think through kind of the cadence of how you like us best to model that the EBITDA flow for the year? Thank you.
Ray Wahl: Yeah. So Steph, you're right on that. It is going to be more back half weighted. In particular, there's a lot of labor holding cost in the first quarter. Not just because we're adding labor in advance of volume, but Omicron certainly had an impact and we weren't going to make a decision to retract labor because of a blip that we thought would be temporary and knowing that Omicron would weighing. We plan to add labor kind of on an even pace throughout 2022 roughly, knowing that there are a few hiring windows where we may accelerate that hiring. And we certainly know that the sales initiatives that we've kicked off will take time to take hold and would expect those to manifest even more so in the backup the year, but the labor would be there waiting.
Steph Wissink: Okay. Very helpful. I'm going to throw one more in just because you give us NPS score which is your customer satisfaction metric, do you have a similar internal metric that you use for your labor force? Is there a way to create a feedback loop, or do you have a feedback loop that reinforces that your clinicians are actually experiencing greater levels of satisfaction, enjoyment as well, alongside your customers?
Jack Larsen: Hey, Steph, this is Jack. So we certainly measure very closely the rate of attrition and turnover and all of our clinics and that's probably, one of the more objective measures. But on a more subjective basis, we intend to starting this quarter to begin to do quarterly pulse surveys of all of our clinicians and all of our support teams, and begin to build that, that sort of foundation to understand where we're at and then measure progress going forward.
Steph Wissink: That's encouraging to hear. Thank you so much.
Operator: Your next question comes from the line of Jason Cassorla with Citi.
Jason Cassorla: Great. Thanks, guys. Good morning here. So just, the guidance implies return to pre-pandemic visit volumes at the end of the year. But is there a way to consider the pressure on volumes between the impact of COVID and then your other considerations around labor and referral sources in terms of getting towards that pre-pandemic baseline? So if you call it 80% of pre-pandemic visit levels currently, is the volume differential ready to cover maybe 5% of that pressure and the remaining 15 is around labor and referral dynamics. Just trying to understand how that works, if you think about the ranch for the rest of the year?
Jack Larsen: Yeah. This is Jack. I'd say, directionally, that's probably feels about right. Joe went through the math of marginal contribution on additional visits. And I think the -- in terms of the EBITDA performance, we are by and large a fixed cost organization. So to the extent that we can raise, not by a lot, one or two visits per day per clinic, we get extraordinarily strong performance as an organization. So most of the difference, I would say, is at this point, volume related and it's something that we're really focused on with the refresh and re-organization of our sales teams and our sales strategy.
Jason Cassorla: Okay. Thanks. So maybe just my next question here. I want to go to the clinician headcount turnover in the quarter, I guess, back in 3Q, you suggested that the annualized turnover kind of improved from 50% to 30% in September. But based on your disclosure, you saw some improvement, I guess, quarterly sequentially at 37% for full quarter. But I guess that would suggest turnover, maybe picked up from that 30% baseline in September. Am I thinking about that correctly? And if so, maybe just help out on what's causing maybe the incremental pressure in the quarter? Thanks.
Ray Wahl: Yeah. Hey, Jason, this is Ray. So attrition is definitely improved, especially as we headed into the back half of the year. Like I mentioned earlier, in my prepared comments, we spent a lot of time going out to the field, making -- ensuring that we're addressing the issues that they seem -- they want to -- they care about, and then they're important to them. So we've seen some changes in terms of what we're focusing on. And that's directly reflected into the number, which I think even more encouraging is that we step into January and so far in February. Those numbers continue to improve now, we're still getting our arms around those, but every month, it continues to improve. And I think that's because of the changes that we made back in July. It's just taking time to kind of settle in.
Jason Cassorla: Okay, great. Thanks for the color.
Operator: [Operator Instructions] Your next question comes from the line of Larry Solow, CJS Securities.
Larry Solow: Hi. Good morning. Just a couple questions, on the planned openings of 35 new clinics, is that a -- obviously, down pretty significantly from initial expectations and that's expected. But is that a function of capital? Is it a function of not being able to -- the environment for hiring is difficult, so you don't want to bite off too much more than you can chew? I’m just trying to figure out the decrease and the outlook over the next multi-years. I know, I'm not looking for exactly outlook, but has that substantially changed from your 1,000 or 900-plus expected openings over the next 10 years?
Jack Larsen: Hey, Larry, this is Jack. You're right. Our new clinic opening plan is arguably more conservative in 2022 than I think we've been staking out before. And I think, it's -- it is a mix of perhaps a little more conservatism in 2022, while we rebuild some of the capabilities in the company around sales and the like. I don't -- I would tell you, it's not a function of us touting our underwriting model for new markets. I would tell you, it's not a function of seeing plenty of whitespace out there to plant new flags. But it's really a function of us wanting to focus on what's really important in the next six to 12 months, and that's to make sure we get our sales strategy in place, keep our attrition in check, build out our clinical sales teams and fill the clinics that we have, more than they're filled today, but, absolutely no commentary on the future of additional clinical expansion at all.
Larry Solow: Right, no commentary, but do you -- I mean, maybe you’re not ready to answer this question. But do you still seek -- those general parameters haven't changed, right? I mean, we're those estimates you gave, were those -- the targets you had given, were they pie in the sky or are they still potentially -- it’d seem that they're still there, right? I mean -- or was that was that too aggressive of a plan? I'm just trying to figure that out.
Joseph Jordan: Hey, Larry, it’s Joe. So the direct answer is, no. The outlook for the future has not changed. The opportunities that exist in the market have not materially changed. Of course, demographics and geographies will change little by little year to year, but that that pie still exists. But to Jack's point, the focus for us in the short term isn't taking away that growth, it's just pairing it back a little bit while we focus on sales, marketing, growing the core business back to normal. And I think its just slowdown in the short term more than anything else.
Larry Solow: Okay. That makes sense. And then just lastly, just a follow up on the previous question about the impact to volume between COVID and just labor issues. Could maybe just set another way or ask another way, for you just, for – can give us a quick some color on some of the facilities or regions that are back to pre-COVID levels. And versus some of the areas that are 20%, or maybe more than that, below pre-COVID level. Is that -- you know, these areas where labor was exceptionally worth, you know, is there any way to sort of break that out you will?
Jack Larsen: Yeah, I'm going to ask Ray to take us for a tour on the country on those, Ray.
Ray Wahl: Sure.
Jack Larsen: Right. So as we think about look at volumes and coming back from the pandemic. We do have a couple different regions that are performing really, really well. The northeast, portion is coming back and nearly at pre-pandemic levels. And we're really excited about our Southwest region. We have quite a bit of momentum there in terms of growth in that market. And we've exceeded our pre-pandemic levels there. As we said earlier, we've had some challenges in the Illinois Central Market and in the Northwest as well. Some of that is related to a larger impact on COVID. But some of this also impacted by our staffing levels. And, you know, we're obviously working on that both through bringing on talent, and then also our sales strategy that we've mentioned. And then finally, in the Southeast, the Southeast is continued to grow, particularly over the last quarter here in Q4 and we’re back up to pre-pandemic levels down to that market as well. Q -  Great. I appreciate the color. Thanks a lot.
Operator: Your next question comes from the line of Bill Sutherland with Benchmark.
Bill Sutherland: Thanks. Good morning, everybody. I'm curious back to the attrition question, the 37% that you're at right now. What is the, kind of, the comfort range that you guys would like to be in?
Jack Larsen: Yes, this is Jack. I'll maybe I'll start and ask Ray to jump in. I just want to echo his comments that the 37% is obviously a quarterly average, and we were starting much higher than the rate we were coming out of in the quarter for full time equivalents. You know, in terms of a target long-term rate, you know, we tend to circle something in the 20% to 25% range would be, I think, ideal. We're going to have normal turnover just based on the demographics of our clinical teams. And I think we're trending certainly not there yet in the first quarter, but I think our attrition is continuing to improve. Ray, well, just…
Ray Wahl: Yeah, I would just add to that. I mean, I don't -- I don't think we have a number of [indiscernible], but I think you're right like that mid-20s is a realistic goal for us. You know, prior to the pandemic, we had attrition rates that were lower than that. But I don't think we're going to return to that environment. I think that's not only for physical therapy, I think that's healthcare and possibly other industries as well. So, like I said, we've implemented a lot of different programs. We're driving towards that number. We're making progress month-over-month, quarter-over-quarter. So that's directionally the number we're looking for, is where we think we should be as an employer.
Bill Sutherland: Okay. And one more labor question is, are you trying to implement an extender strategy in certain situations to just improve the productivity of the PT?
Ray Wahl: Yeah. So when you say extender, I'm going to assume that you're regarding -- referring to PTA. So when we think about…
Bill Sutherland: All right, in tax – yeah.
Ray Wahl: You got it? You got it? So, yes, we have a right now we said roughly at about a 2:1 PT – the PTA ratio, which is right where we want it in terms of our care model, ensuring that patients are getting not only the right care, but they're getting care at the right time, so we're able to get them in quickly. So, our budget will build us a little bit higher than that where we are now at 2:1 but directionally, I think we're where we want to be. In regards to Rehab Tax, we call them OSSs and right now, we sit right around 20:1, 20 visits per day to one OSS and we're finding out that that's the right ratio for us. So, we're where we want it to be when it comes to ancillary staff and having the right support in the clinics, so providers can do what they love to do administering patients. So, we feel good about that number.
Bill Sutherland: Great. And then on the go-to-market strategy, as you -- I know there's a heavy emphasis obviously a primary channel is the referral channel from the physician community. Any resumed focus or has it changed in terms of just direct-to-consumer and also direct-to-employer?
Jack Larsen: Let me start on the primary channel and I'll ask Ray to jump in on the direct-to-employer side. As we priorities where we think we can be most successful near and we think we can be most impactful by focusing on the primary channel, as we've said. We characterize the work we've done in sales as a refresh, but let me assure you it was it was more than a refresh, it was a rebuild -- or rather rebuild in terms of hiring new people, we've selected the best athletes from the existing sales team, armed them with far better data and far better tools as they make their referral calls, not only on prior referral sources, but also on new referral sources that we know have referrals, again, that we may not have focused on in the past. So, that's really kind of a top to bottom redo. On the direct-to-employer side, we've also got a very interesting business and we have not lost focused on that. Ray, would you jump in on that one?
Ray Wahl: Sure. So, our direct-to-employer, part of that is what we call our AWS service line, where we're providing employers, healthcare providers, athletic trainers, exercise to geologists, physical therapy assistants, on the floor of their different plans and companies to ensure that it's a safe environment. That service line continues to grow. There's a lot of opportunity there. We also have some very interesting relationships, partnering with primary care, AkcMed [ph] companies, in terms of helping them control their MSK spend, which is what our AWS service lines specializes in. So, we've always focused on it, we're going to continue to focus on it and we think that there's a lot of opportunity as we further our relationships with some of those other companies that I mentioned.
Bill Sutherland: Okay. The last one for you, Joe, on cash and cash strategy, how should we think about I guess the trending cash or what your plans are for management? Thanks.
Joseph Jordan: Hey, Bill. So, from a cash perspective, I talked about on the call, the teams and capital structure that we announced today meaning the refinancing transaction. That refinancing transaction added $77 million of cash to our balance sheet, so we had a high burn last year at about $94 million. There's some unique items in that burn. We were pretty heavy on new clinics last year. We had CARES Act dollars of roughly $25-ish million that we were repaying and some of that repeats this year. We still have about $20 million of CARES Act runoff that will happen in 2022. That's discrete in 2022. It runs out. Primarily in first half, there is a total security piece of that payment of $5.5 million in December, but that will run off. And beyond that, as we rebuild our EBITDA in 2022, you can imagine there's going to be more of a cash burn in the first half of the year, but as we exit the year, getting closer to sort of that cash flow neutral and cash flow positive beyond 2022.
Bill Sutherland: So you're comfortable with this expansion plan that you have in terms of the cash required for investment…?
Joseph Jordan: Yes. Yep, yep, absolutely. And the cash that we put on the balance sheet with the transactions that close yesterday, certainly give us liquidity that allows us to support the operations, while we move through 2022. But I think also get a little bit on our front foot and invest in growth.
Bill Sutherland: Okay. Thanks for all the color guys.
Jack Larsen : Thank you. Next question.
Operator: Your next question comes from the line of Steph Wissink with Jefferies.
Steph Wissink : I wanted to just ask about the CEO search. I don’t believe you talked about it in your prepared remarks. So really appreciate any update there. If it's update on progress, or even just characterizations of the type of individual you're looking forward to lead the company at this time? Thank you.
Jack Larsen: Yes, Steph, good catch. I did not speak about it in prepared comments, but fully expecting to gear. So let me answer that in reverse. What are the expectations? And how are we specking out the role? Most importantly, we're looking for somebody who has a really good understanding more than just an indirect exposure, but really direct hands on experience in field based clinical management, clinical organizations, distributed operations, I think, there -- I've spoken to a lot of potential candidates who somewhere in their backgrounds have been exposed to that, but I'm really interested in bringing somebody on who's really in the vernacular been there done that. So I think for me that's first and foremost. I think the second, third and fourth would be, certainly skilled around finance, public companies, have a good background in the economic dynamics of running a very large distributed organization. So I would say that's the general specifications. Specifically, we we've spoken with a lot of really qualified candidates. And I'm -- I guess, I'm quantifiably saying that I'm thinking we're coming near to completion on our search. I have nothing really to offer in particular today, but I think we're down to the near the end, and I hope to have something to announce here in the near future. That's about all the zooming in on timing I can give you at this point.
Steph Wissink : Very helpful. Thank you so much.
Jack Larsen: You bet. Next question.
Operator: And there are no further questions at this time.
Jack Larsen : Okay. Well, if there are no further questions, I want to thank you all for your time. We appreciate your attention. And as I said earlier, I hope our performance in 2021 is the starting point on the meeting the commitments we make and keeping those commitments as we go. And I'm looking forward to working with all of you as we go into 2022. Thank you so much.
Operator: This concludes today's conference. You may now disconnect.